Operator: Good morning. Welcome to Triple-S Management Fourth Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode.  After today's presentation there'll be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Garrett Edson from ICR. Please go ahead.
Garrett Edson: Thank you and good morning. Welcome to the Triple-S Management fourth quarter 2020 earnings conference call. With us today are your host Bobby Garcia, President and Chief Executive Officer of Triple-S and Juan Jose Roman, the Executive Vice President and Chief Financial Officer. In addition, Madeline Hernandez, Chief Operating Officer and President of Managed Care will be available during Q&A. By now everyone should have access to the earnings announcement, which was released prior to this call which may also be found on the company's website at triplesmanagement.com.
Bobby Garcia: Thanks, Garrett and good morning everyone. We appreciate your time this morning and hope you are well. In the fourth quarter of 2020, we had solid line top line growth and delivered on our prior outlook for adjusted earnings per share. Overall, we generated strong results for the year. We took initial steps to implement our value based integrated healthcare model and importantly we were a major positive force for our members and our community as they grappled with numerous challenges of the pandemic. Our telehealth platforms, prescription drug home delivery and partnerships with groups across the island to reach our most vulnerable members help meet the needs of our community during this critical time. I'm very grateful to our team for their efforts, commitment and the results they delivered during a truly unprecedented year for all. For the quarter, we reported total operating revenues of $969.8 million, a 17% increase from the same period last year. Thanks for another quarter of solid increases in Medicaid Medicare premiums and in particular Medicaid membership and average premium rates. We also recorded adjusted net income of $4.2 million or $0.18 per diluted share compared with $0.25 per diluted share in the fourth quarter of 2019. Overall, utilization of our services increased during the quarter and while utilization patterns varied somewhat by type of service and business, by year-end they had returned to pre-pandemic levels in the aggregate as Juan Jose will describe later. We expect overall utilization to remain at normal levels in 2021. Let me now turn to our segment performance, beginning with Managed Care.
Juan Jose Roman: Thank you, Bobby and good morning to everyone on this call. Our fourth quarter results were in line with the outlook we provided on our third quarter call. As expected, our performance in the quarter was affected by two major factors. First, we had a significant increase in membership in the Medicaid business. And secondly, we continue to be affected by the changes in utilization patterns brought on by COVID-19. By year-end, utilization of services have to reach pre-pandemic levels and in the fourth quarter we began to see some of the deferred utilization in our claims experience, which along with COVID related costs resulted in a year-over-year increase in our MLR. For Q4 2020, we reported adjusted net income per diluted share of $0.18 compared with $0.25 in the prior year period. Turning to the segment results, in Managed Care, premiums earned net increased $131.5 million or 17.7% over the same period last year. The increase was due to higher average premium rates across all businesses and higher Medicaid and Medicare fully insured member months. In the Medicaid business, average premium rates increased 16% compared with the prior year as a result of two rate increases in 2020. As expected, Medicaid member months were up in the fourth quarter increasing by almost 168,000 or 16% year-over-year. As mentioned in previous quarters, effective November 1st, the government has signed the remaining members of a Medicaid carrier that was leaving the program. The assignment resulted in an additional 80,000 member months for us. In the Medicare business, higher premiums per member per month mostly reflected an increase in our average risk scores and in the CMS premium benchmark. This business also experienced higher membership during the fourth quarter, increasing by nearly 27,000 member months. In the commercial business, the increase in the per member per month grade was mostly due to a reduction in the estimated MLR rebate accrual we reported last quarter. This rebate which was originally recorded as a reduction of premiums was revised during the quarter as utilization continued to trend toward normalized levels; member months declined by nearly 10,000 reflecting the economic impact of the pandemic.
Operator:
Bobby Garcia: Thank you. Thank you, Juan Jose for your comments and thanks once again to the entire Triple-S team for their outstanding efforts during 2020 and for their continued hard work and dedication to patient-centered healthcare delivery and for quality outcomes for all our members. We appreciate your time and ongoing support and we hope your families remain safe and healthy. We look forward to talking with you again in the spring during our first quarter 2021 earnings call. In the meantime, please reach out to us if you have more questions and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.